Operator: Good day and welcome to the Lindsay Corporation's Fiscal Third Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, please note this event is being recorded. I would now like to turn the conference over to Randy Wood, President and CEO. Please go ahead.
Randy Wood: Thank you, and good morning, everyone. Welcome to our fiscal 2025 third quarter earnings call. With me today is Brian Ketcham, our Chief Financial Officer. I am extremely proud of our team and their execution, delivering our third consecutive quarter of year-over-year growth in both revenue and operating income. Our employees are diligently focused on supporting our customers and each other. These results reflect the strength of our global business and our team's commitment to execution excellence. Our Irrigation business delivered year-over-year revenue growth led by strength in our international markets, including Latin America and the Middle East and North Africa region, while the domestic irrigation volume was comparable to the prior year. We continue to deliver our large project in The Middle East and are pleased to announce we have secured a new project in the territory valued at over $20 million. This project will begin shipping in our fiscal fourth quarter and will continue into our first quarter of fiscal year 2026. Turning to our Infrastructure segment, our team delivered another solid quarter, primarily driven by road safety products as we enter the road construction season here in North America. Our focus remains on growing both our road safety products and Road Zipper system business, particularly leasing, as this supports a more stable revenue profile for the segment and our overall results. Shifting gears to market outlook, in North America irrigation, we are now in the primary growing season where weather conditions influence crop yields, prices, and net farm income for the year. These factors play a large role in determining future demand for irrigation equipment. While the USDA is projecting an increase in net farm income for this year, most of that growth is related to direct government payments for disaster relief and commodity price support. Crop revenue is projected to decline at this point of the storm season, we have seen softer demand relative to the prior year. This tempers demand expectations for North American irrigation heading into our fourth quarter. In our international irrigation markets, particularly Brazil, we are encouraged by continued signs of improving market conditions. I traveled across Mato Grosso and Goias states earlier this month and can confirm that customers in this region are ready to expand irrigated acres as the availability of affordable credit expands and the country's energy infrastructure grows. The federal government raised the benchmark interest rate by 25 basis points earlier this month, and it now sits at 15%, which is the highest rate since February. We do expect next year's crop plan to be released in July. The market outlook will be impacted by the rate and amount of funds made available through the program. We continue to see a strong project funnel in The Middle East and North Africa, and as I mentioned earlier, we did secure another project in this region and expect to see continued growth as countries across the territory prioritize food security and water resource conservation. In infrastructure, we continue to see opportunities develop across Road Zipper systems sales, leasing, and road safety products. Infrastructure funding in The U.S. remains steady, and while project timing can shift quarter to quarter, our funnel of project opportunities remains robust. While additional project sales are on the horizon, the timing of these more complex sales remains uncertain. Our global operations and supply chain team continue to navigate an evolving tariff environment while leveraging our global footprint to mitigate the impact on our business. Actions including supplier collaboration, strategic inventory placement, resourcing, and pricing have allowed us to manage through this period well. In the area of technology, our collaboration with Pessil Instruments continues to create customer value. By combining FieldNET Advisor with Pessl's infield environmental centers, we are providing more precise and real-time agronomic insights that allow for more accurate irrigation scheduling decisions. This integrated approach has driven notable growth in cross-selling opportunities. The partnership is deepening our expertise in agronomic decision support, strengthening our data-driven product suite, and advancing our position as a leader in precision irrigation. I would like to now turn the call over to Brian to discuss our third quarter financial results.
Brian Ketcham: Thank you, Randy, and good morning, everyone. Consolidated revenues for the third quarter of fiscal 2025 increased 22% to $169.5 million compared to $139.2 million in the prior year. Revenues grew in both the Irrigation and Infrastructure segments compared to the prior year. Net earnings for the quarter were $19.5 million or $1.78 per diluted share, compared to net earnings of $20.4 million or $1.85 per diluted share in the prior year. This year-over-year decrease in net earnings resulted primarily from the recognition of a one-time income tax credit in the prior year of $4.8 million or $0.44 per diluted share. Excluding the impact of the tax credit on prior year results, current year earnings per share represents an increase of 26% over the prior year. Turning to our segment results, Irrigation segment revenues for the quarter increased 25% to $143.7 million compared to $114.8 million in the prior year. North America irrigation revenues of $69.1 million increased 1% compared to $68.2 million in the prior year. Unit sales volume of irrigation equipment was comparable to the prior year while average selling prices were up slightly. This increase was partially offset by the mix impact of slightly shorter machines on average compared to the prior year. Increased demand for irrigation equipment and specialty crop markets in the Pacific Northwest offset softer demand in corn and soybean markets and a lower level of storm damage replacement activity compared to the prior year. In international irrigation markets, revenues increased 60% to $74.7 million compared to $46.6 million in the prior year. The majority of the increase resulted from revenues related to our large project in the MENA region along with higher sales volumes in Brazil and other parts of South America. These increases were partially offset by unfavorable effects of foreign currency translation of approximately $2.5 million compared to the prior year. Irrigation segment operating income for the quarter of $27.2 million increased 39% compared to the prior year, and operating margin was 18.9% of sales, compared to 17% of sales in the prior year. Operating income increased due to higher revenues and favorable leverage of fixed operating expenses while being partially offset by a higher amount of international project revenues which resulted in some dilution to operating margin compared to the prior year. Infrastructure segment revenues for the quarter of $25.7 million increased 6% compared to $24.4 million in the prior year. The increase resulted primarily from higher sales of road safety products, while Road Zipper project sales and lease revenues in total were comparable to the prior year. Infrastructure segment operating income for the quarter was $5.4 million compared to $300,000 in the prior year. And Infrastructure operating margin for the quarter was 21.1% of sales compared to 25.8% of sales in the prior year. Lower operating income and operating margin resulted primarily from a less favorable margin mix within Road Zipper System revenues compared to the prior year. Turning to the balance sheet and liquidity, our total available liquidity at the end of the third quarter was $261 million, which includes $11 million in cash, cash equivalents, and marketable securities and $50 million available under our revolving credit facility. The strength of our balance sheet and ample access to liquid capital resources continue to serve as a strategic asset for Lindsay Corporation as we execute our capital allocation strategy to create enhanced and sustained value for our shareholders. This concludes my remarks. And at this time, I will turn the call over to the operator to take your questions.
Operator: Thank you. We will now begin the question and answer session. And your first question comes from Kristen Owen with Oppenheimer. Please go ahead.
Mason Banwar: Good morning. This is Mason Banwar on for Kristen. We wanted to ask about your international business. Over the short term, can you help understand what, if any, impact the recent flare-up in The Middle East could have on your large project activity? Then on the longer term, I am wondering if you can help us understand what you are thinking about the long-term growth opportunity in Brazil. We are hearing a lot of optimism around the rebound and sentiment in the region, but also acreage and expansion from a competitive standpoint.
Randy Wood: Yes. Good morning, Mason. This is Randy. I will go ahead and take that one. And I guess I will start by stating obviously like everyone else we are hoping for a peaceful resolution on the complex in The Middle East and transitioning to the impact on large project activity we do not see a lot of direct impact in the short term. And certainly, the long-term fundamental drivers there related to food security remain intact. So we do not expect at this point any significant disruption in our ability to deliver existing projects or continue working the funnel to exit new projects in the region. And relative to Brazil, you broke up a little bit there in the middle, but I will cover what I think I had heard. The long-term growth opportunity in Brazil from our perspective is significant and we have made that comment before. We still have that view. I was fortunate to travel in the region earlier this month and it really does confirm what we hear, what we read, what we see from our dealers and our sales teams in the region. And right now, we look put Brazil mid-single digits in terms of irrigation adoption. So not only projecting growth on new ground coming into production, certainly improving the yield and productivity of ground that is already under production. And we have often said, as credit conditions become more attractive, we will certainly see continued investment in growth. We are hearing a lot of territory now where energy has to catch up so that they have got the ability to power pumps and pivots in the region. But if we had to rank where we see the strong sustainable consistent growth opportunities in the world, Brazil is certainly going to be near the top of that list.
Mason Banwar: Thank you for that. A quick follow-up. One of the things we are watching across both ag and infrastructure markets is the extension of the Trump tax credits and in particular the reinstatement of bonus depreciation. In both irrigation and Road Zipper business? Can you provide your thoughts on how it might impact your demand outlook?
Brian Ketcham: Yes, Mason, this is Brian. I think the tax credits and the accelerated depreciation bonus depreciation, it is going to be more impactful for the irrigation business probably not as much on the Road Zipper side of the business. And really, it is all about farmer income and the ability to shelter that from taxes. And I think from our standpoint, maybe not an overall increase in demand, but I think the timing of that demand, as you see, could if the bill gets passed this year, you could see some demand later in the calendar year this year that might have been projected to be in the spring of next year. So I think it can shift the timing around, but overall it is still definitely supportive of investment in our equipment.
Mason Banwar: Thank you for taking my questions.
Operator: And your next question comes from Ryan Connors with Northcoast Research. Please go ahead.
Ryan Connors: Good morning. Thanks for taking my questions. Good morning, Brian. So one of the stick on the Ag business for a few. And first off just on the pricing front, you talked about price being a slight tailwind. That seems like a bit more constructive than we have had the last few quarters. So any color there? Was that regional in nature? You mentioned that Northwest was strong. Just any additional color on the pricing would be helpful.
Brian Ketcham: Yes, Ryan. I would say we have stated before when the tariff information came out and then some we saw some of this deal market in The U.S. Go up. We have been proactive at addressing price and taking pricing actions. So I think at this point, I would say it is a slight impact on revenues. And but I think we are kind of getting ahead a little bit of the cost impact there. So certainly some support on the margin side there, but that has been really in The U.S. Is where we have seen the pricing actions.
Ryan Connors: Understood. Okay. And then you mentioned in the press release and you mentioned it as well, Brian, it is this notion of shorter machines as, I guess, a tailwind to or excuse me, headwind rather. So anything that is driving that, anything to note in the mix that is structural that is changing there? Or is that just sort of happenstance at the moment or that is the way it is going? Or is there anything we read into that? Because I noticed you mentioned it a couple of times.
Brian Ketcham: Yes. And it is really a regional thing primarily and mentioned pretty strong demand in the Pacific Northwest in our third quarter. And that is where we are seeing some of the shorter machines, which influences the overall average. And there you have got large farms that had pivots in and as they add land and maybe they cover the corners with shorter machines, that is kind of what is really driving it. You do not see that as much across the broad corn belt, but in the Pacific Northwest region and some in the Southeast as well. You got some shorter machines.
Ryan Connors: Got it. Okay. And then kind of a bigger picture question. Randy, you alluded to the fact that net farm income is going to be up this year, but a lot of that is government supports. And that the adages that growers are not going to spend that money the same as they will spend crop receipts. But in a drought scenario like we have going on in parts of the Midwest, especially a pivot heavy region like Nebraska, could we actually end up seeing a lot of that money flow into irrigation? I mean, these the money is coming in from the government and you sort of need it is certainly a priority at the moment I would think for some of these growers to make sure they can get crop up.
Randy Wood: Yes, Ryan, I would not say in our view that the drought is going to drive a lot of new machine purposes. We are a pretty mature market here. In the Midwest. So we I know we had some machines start up maybe a little earlier germinate a crop when we did not have those early spring rains. So we might see more hours as year that could lead to more parts business, certainly some service business for our dealers. But I would not correlate that to a significant or noticeable increase in machine demand. And I can say in the eastern part of the state at least we have had a significant amount of rain here over the last seven to ten days. So I think the longer term threat of drought could be abating slightly as well.
Ryan Connors: Sure. And then just one last one, if I could sneak it in. On the new $20 million mean project, should we assume the margins on that are roughly equivalent to the margins on the the the other big MENA project you have been shipping?
Randy Wood: Yes. I think that is a fair assumption. I mean, it is a smaller project, but I would say given the fact that we are going to start delivering that at the same time, we still have the larger project, I think we will see comparable margins. Yes.
Ryan Connors: Okay, great. Thanks for your time.
Operator: Thank you. And your next question comes from Brian Drab with William Blair. Please go ahead.
Brian Drab: Hey, good morning. Thanks for taking my questions. And I just wanted to start with following up to that last question. The $20 million project is a little bit smaller than, as you pointed out than some of the other ones that you have been doing. In that region. Is that is there is that the beginning of a trend possibly? Why is it coming in maybe smaller pieces in this case? And do you in winning that project, were there discussions of other pieces to maybe a larger project? And do you have visibility to the next phases?
Randy Wood: Yes. Good morning, Brian. This is Randy. Thanks for the question. I would probably answer the question this way. And we talk a lot about the funnel and I think others that are active in the region have as well. And when you look at the kind of the Pareto on everything that is in there, there is going to be more of these $20 million, $30 million, $40 million projects than there are the $250 million plus projects. Those mega projects going to be certainly a smaller number. So if you look at a trend, I would not say it is a trend where the mega projects are getting broken down into smaller projects. These are different customers, different parts of the region. With maybe different availability of land mass to them. So not a trend where we would say everything is going to shift to these small ones. We still see some of those mega projects working their way through the funnel. From a quantity perspective, I think we are going to see more of these smaller projects over time. But it is not big customers getting small. It is different customers, different parts of the region.
Brian Drab: Okay. Thanks very much. And then on Brazil, your comments today and what we are seeing in Brazil kind of has me slightly feeling slightly more cautious about the near-term outlook in Brazil. I am wondering if that is what your sense is as well. I mean, talked about the rate being the highest it has been since 2006. 15%. I guess the question is just are you incrementally more cautious on Brazil here for the second half of calendar 2025.
Randy Wood: I think as we see in a lot of markets, there is a combination of tailwinds and headwinds that are kind of battling it out. And I think in Brazil, we still see the fundamental market there when you can grow three crops. When you irrigate and then two, when you do not. Soy prices remain strong and that access to affordable capital, the one thing right now that is maybe keeping a lid on that market. So in the near term, near term being today, maybe slightly more cautious, but we also commented that next year's crop plan should be released in the July. That is going to be a major source of affordable funding for our customers. So depending on where that rate is and the amount of total funding that is available, I think that short-term cautious optimism could transition quite quickly. And we know that that market from a long-term perspective is going continue to see growth and ongoing investments. So I do not think it is tempered demand to the point that we are even remotely concerned, Brian. But until we see what next year's crop plan looks like, I think it is for the most part a lot of customers are kind of in a wait and see approach now. But that wait and see is ten to fourteen days.
Brian Drab: Okay. Thanks. Appreciate it very much.
Randy Wood: You bet.
Operator: And your next question comes from Jon Braatz with Kansas City Capital. Please go ahead.
Jon Braatz: Good morning, Randy, Brian.
Randy Wood: Good morning, John.
Jon Braatz: Brian, can you tell us a little bit about, I mean, tell us how much was delivered on large project this quarter and what remains? And then from a bigger picture standpoint, is there enough opportunities out there for you to offset the sort of the completion of the large project as we look into next year?
Brian Ketcham: Sure. Yes, first of all, we were able to deliver a little bit ahead of schedule in the third quarter. So think we have been talking about $20 million a quarter. We did about $24 million in the third quarter. So that potentially pulls forward what we were expecting to do in the fourth quarter. So maybe there is 16 in the fourth quarter and then the remainder, which could be another $15 million, $16 million that rolls into the first quarter of next year. So that has been really delivering as expected. Like I said, we were able to get a little bit more of that out in the third quarter. But the second part of your question, I mean, think as Randy talked about the project pipeline and both combination of large and small, I mean small, I kind of have to laugh when we talk about a $20 million project being small. I mean, in the past, the $20 million project would be pretty good sized project. But there is enough projects in the funnel to fill the gap from the large project that we have had we have this year. I think the big question is, as we always talk about is the timing and the unpredictability there and a lot of factors go into when a project can get started, whether infrastructure or whether it is getting the funding in place and things like that. But we there is ample opportunity there to certainly fill that gap and continue to have a project business in that part of the world.
Jon Braatz: Okay. Second question is, in the past, or speaking of North America, North America pivot sales seem to have been somewhat correlated with what we are seeing in terms of volumes at John Deere and the big equipment manufacturers, this year, there certainly has not been a disconnect. Your volumes have been flattish. And their volumes have been off considerably. What might be driving that? And I know you talked a little bit about Pacific Northwest. Is it sort of more irrigation, more pivot sales in regional markets outside of the big row crops?
Randy Wood: Yes. I will take that one, John. I think there is a couple of things. The mix that you are talking about regionally, I think certainly plays into it. One of the other factors is that just fundamentally, we have got different go-to-market models. And when you talked about John Deere and their calls, they will talk about destocking the channel. So their revenue is recognized when it ships to a dealer. The dealer is going to hold inventory and sell that at retail. And for us, we basically ship from the factory to the field. So we do not have that destocking mechanism through our channel that I think a lot of those equipment OEMs have to deal with when we start to see the market downturn.
Jon Braatz: Okay. Okay. Alright. That is it. Thank you very much.
Randy Wood: Thank you, John. Thanks, John.
Operator: And your next question comes from Nathan Jones with Stifel. Please go ahead.
Adam Farley: Good morning. This is Adam Farley on for Nathan. Hey, I wanted to follow-up on the price cost discussion. Are you seeing any impact from the increase in the steel and aluminum tariff? And then do you have any expectation for near-term steel costs?
Brian Ketcham: Yes, Adam, this is Brian. I would say at this point we have had little to no impact from the steel cost. I mean, we had seen initially when the tariffs were announced, the domestic steel suppliers increasing price, some of that was some artificial demand created with companies stocking up on inventory and things like that. But this most recent announcement of the 50% tariffs, we just have not seen any price increases sticking at this point in time. Do not think the demand is there to support the domestic steel increases. So I would say from a cost standpoint, as it relates to steel, at this point, limited impact and as it relates to the other tariffs, I think it is still in that what we talked about before in that mid-single-digit kind of impact. And we mentioned earlier, we have taken some pricing actions in anticipation of that cost impact.
Adam Farley: Thanks, Brian. That is helpful. And then I wanted to follow-up on the progress surrounding the modernization of your Lindsay, Nebraska manufacturing facility. I am asking the question because margins have been pretty robust this year. And I am wondering if you are seeing realized savings from that modernization.
Randy Wood: Yeah. I will maybe start, Adam, and kind of give you an update on the progress and Brian can maybe go a little deeper on some of the numbers. And we had the opportunity to take our Board there earlier this week and kind of do a tour on the investment progress and things are going extremely well. We have been blessed with good weather. We have been blessed with a great team. Supplier support working on execution. And I can say that everything is on track on the timelines that we expected. And I think the quality of the equipment of the facilities, the worker environment, the improvements in the improvements of efficiency, everything looks like it is going to deliver quite well versus our expectations. Maybe turn it over to Brian to be a little more specific.
Brian Ketcham: Yes. Adam, in terms of the margin improvement that we are seeing and specifically to the third quarter here. If I were to characterize it in order of magnitude, I would say, first of all, the volume leverage that we have in the international business and the leverage in our Turkey facility is probably the largest single driver. But operational efficiencies, I would say would be the next contributor to the margin expansion and you are seeing that in our main factories in Brazil, Turkey, and in The U.S. We are seeing some operational efficiencies. And then a third thing that is contributing to margin expansion that we have talked about at some point as being supportive. Think our growth in subscriptions and the recurring revenue there, we are seeing that start to impact and help from a margin standpoint.
Adam Farley: Okay. Thank you for taking my questions.
Brian Ketcham: Thank you.
Operator: Seeing no additional questions, this concludes our question and answer session. I would like to turn the conference back over to Randy Wood for any closing remarks.
Randy Wood: Thank you all for joining us today. We are very pleased with our year-to-date results and our third quarter performance. Our teams continue to execute well and we are positioned to manage through the market headwinds in our domestic U.S. Irrigation market while leveraging opportunities in the expanding international irrigation regions. Our Road Zipper funnel will continue to drive long-term growth, our global footprint and supply chain will allow us to effectively manage through tariff uncertainty. This concludes our third quarter earnings call. We look forward to updating you on our continued progress following the close of our fiscal 2025 year. Thanks for joining us.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.